Operator: Good morning. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the UWM Holdings Corporation fourth quarter 2025 and full year 2025 earnings conference call. All lines have been placed on mute to prevent any background noise. Thank you. Blake Kolo, you may begin your conference.
Blake Kolo: Good morning. This is Blake Kolo, Chief Business Officer and Head of Investor Relations. Thank you for joining us, and welcome to the fourth quarter and full year 2025 UWM Holdings Corporation earnings call. Before we start, I would like to remind everyone that this conference call includes forward-looking statements. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the earnings release that we issued this morning. Our commentary today will also include non-GAAP financial measures. For more information on our non-GAAP metrics and the reconciliation between the GAAP and non-GAAP metrics for the reported results, please refer to the earnings release issued earlier today, as well as our filings with the SEC. I will now turn the call over to Mathew Ishbia, Chairman, President, and CEO of UWM Holdings Corporation, United Wholesale Mortgage. Thanks, Blake, and thank you everyone for joining. Appreciate you guys being here. 2025 was an amazing year at UWM. You know, reflecting the strength and consistency of our business model, we executed a high level and delivered industry-leading results throughout the year, still investing in the long term.
Mathew Ishbia: It was our fourth consecutive year as the number one overall lender in America, and our eleventh consecutive year as the number one wholesale lender. This has never been done in the history of the mortgage industry, and we are really proud of our success and our dominance across the industry in wholesale and overall. Now, for the year, we delivered $163.4 billion originations, which is up 17% from 2024; $244 million in net income, and that included a $435 million MSR write-down. Our adjusted EBITDA was over $697 million. So we delivered an amazing quarter, $49.6 billion originations, a phenomenal year across the board. Now turning to the fourth quarter, which is up 28% year over year. Our gain margin was 122 basis points, and our net income was $164.5 million. That included a $28.8 million write-down of MSRs. You know, on top of that, adjusted EBITDA was $232.8 million. It was just really strong across the board. An amazing fourth quarter. Really proud of what we did, and now we are going to continue to dominate going forward. Now, our process of bringing servicing in-house is on track. Our partnership with BUILT is going fantastic. We are so excited about what is going on right now. Going to deliver the best consumer experience in the industry just like we do on the mortgage side, on the lending side. We are going to do it on the servicing and also keep our brokers connected and engaged to their consumers’ lives going forward. So we are really excited about this. BUILT is going to allow our brokers to not only acquire consumers earlier and expand the volume, the top of our funnel for lead flow, but also keep the mortgage brokers top of mind through the whole process. So BUILT-UWM servicing process is off to an amazing start, and we are really excited to give you more information about that as it goes forward. Now, the pending Two Harbors acquisition and process of bringing servicing in-house are strategic inflection points, not just operational improvements. Together, these initiatives position us to expand our dominance, deliver high-quality leads to our brokers, increase the recapture rate while lowering cost per recaptured loan, and more data-driven personalization tools for our brokers. You can think about our servicing platform as both a growth and retention engine. We will continue to capitalize on where the market is going. More consumers are entering the broker channel, driven by rate shopping, optionality, speed, and a mortgage broker’s ability to guide them. Our 100% broker model at our scale is both unique and a tremendous advantage. We put our business in position in a more organic way to dominate than any of our competitors, and we are excited about the growth going forward. I will now turn the call over to our CFO, Rami Hasani. Thank you, Mathew. Q4 was a strong quarter.
Rami Hasani: Reported total revenue of $945 million in Q4. Up from $843 million in Q3. Income was $164.5 million in Q4, up from $12.1 million in Q3. We also continue to maintain our MSR portfolio with a UPB of approximately $241 billion, a fair value of $4.1 billion, and net servicing income of $186 million in Q4, up from $169 million in Q3. For the full year, we reported total revenue of $3.2 billion in 2025, up from $2.7 billion in 2024. Net income was $244 million, down from net income of $329 million in 2024. We also delivered servicing income of $725 million in 2025, up from $637 million in 2024. As we have said consistently, supporting long-term growth means continuing to invest in our people, processes, and technology, and doing so in a way that strengthens our operating capacity. In 2025, we continued to focus on investing to be prepared for growth, as we have mentioned before. We remain firmly on strategy with our investments, including bringing servicing in-house, which positions us to capitalize on significant market opportunities as volumes continue to normalize and grow. From a capital and liquidity perspective, we remain well capitalized with total equity of $1.6 billion. We also continue to be in a strong liquidity position, with total available liquidity of $1.8 billion at the end of Q4. While our liquidity position was higher at the end of Q3, it was due to the timing of the $1 billion senior unsecured bond issuance in September and our proactive liability management with the use of proceeds prior to the mid-November bond maturity. Net available cash and our leverage ratios as of the end of Q4 remained relatively consistent with Q3. Going forward, we expect to continue to maintain our capital, liquidity, and leverage ratios within what we believe to be acceptable ranges. And upon completion of our acquisition of Two Harbors, we expect that our capital, liquidity, and leverage ratios will be further enhanced. In summary, Q4 and 2025 delivered strong performance, and we are excited for 2026, bringing servicing in-house and completing the Two Harbors acquisition to further strengthen our business for long-term growth and success. I will now turn things back over to our Chairman, President, and CEO, Mathew Ishbia, for closing remarks.
Mathew Ishbia: Alright. Thanks, Rami. I will close with a few quick points. We are very optimistic on the mortgage and housing industry. You know, there is a big tailwind behind all of us. A lot of it is tied to the market, the administration, HUD, FHFA, Treasury, all these leaders in the country and in our industry are trying to find a way to help affordability and lowering rates, help more consumers. UWM Holdings Corporation will be the clear beneficiaries of all these changes, and we are excited about what is going on. Now, we expect to stay number one in the growing market, excited about how our AI implementation drives expenses lower while driving production much higher. The opportunity is there right now, and we are seeing it happen. Our model is unique. As with the lowest cost of energy, and with servicing in-house, the BUILT experience and pending Two Harbors acquisition, we now have a closed-loop platform that will help position us to accelerate broker channel growth and drive consumer retention for us and the channel. Now, on these calls, I have always taken questions. We have gone through the process, and we believe our industry’s superior business model that the short Q&A does not necessarily do it justice, really make it to explain the complexity of business. So I am not going to go through the question process today, but I do encourage you to read the SEC filings for more information about our business and strategy. UWM Holdings Corporation has had such a dominant 2025. We are going to have an even more dominant 2026, and I am really, really excited about it. So the year 2025 was about execution, disciplined investment, continued leadership. We are well positioned operationally, financially, and strategically for 2026 and beyond. We remain focused on the long-term focus of dominating this industry, taking care of our consumers, our team members, our brokers, our shareholders, and we are going to do just that going forward. Thanks for the time today. Have a great day, and we will talk soon.
Operator: This concludes today’s conference call. You may now disconnect.